Operator: Good morning and welcome to the Broadridge Fiscal Third Quarter 2022 Earnings Conference Call. All participants will be in listen-only mode.  After today’s presentation, there will be an opportunity to ask questions.  Please note this event is being recorded. I would now like to turn the conference over to Edings Thibault, Head of Investor Relations. Please go ahead.
Edings Thibault: Thank you, Kate. Good morning and welcome to Broadridge’s third quarter fiscal year 2022 earnings call. Our earnings release and the slides that accompany this call may be found on the Investor Relations section of broadridge.com. Joining me on the call this morning are Tim Gokey, our CEO; and our CFO, Edmund Reese. Before I turn the call over to Tim, a few standard reminders. We will be making forward-looking statements on today’s call regarding Broadridge that involve risks. A summary of these risks can be found on the -- in the slides and a more complete description on our annual report on Form 10-K. We will also be referring to several non-GAAP measures, which we believe provide investors with a more complete understanding of Broadridge’s underlying operating results. An explanation of these non-GAAP measures and reconciliations to their comparable GAAP measures can be found in the earnings release and presentation. Let me now turn the call over to Tim Gokey. Tim?
Tim Gokey: Thanks Edings. Good morning. I'm pleased to be here to discuss our strong results, record sales and outlook for another really good year. I'll start with the highlights for the quarter. First, Broadridge reported another quarter of strong results. Recurring revenues rose 16% and adjusted EPS rose 10%. More importantly, we're entering our seasonally largest quarter with continued momentum, and we are well-positioned to close out another year of strong top and bottom line growth. Second, our growth continues to be powered by long-term trends. In an uncertain market, we're benefiting from increased investor participation, the need to modernize and digitize financial system technology and the ever-present focus on efficiency. Thanks to our investment in multiyear focus, Broadridge is taking advantage of these trends, and you see that in our growth and in our closed sales. We're also benefiting from strong performance in our acquisition of Itiviti. Third, the convergence of long-term trends is making what we do increasingly important, especially in governance. In few moments, I'll discuss those trends and their positive implications. Finally, Broadridge is on track to deliver another strong year. As a result of our year-to-date performance and visibility into the fourth quarter, we are raising our adjusted EPS forecast to 13% to 15% from 11% to 15%. With only a few months to go, we expect to deliver mid-teens recurring revenue and mid-teens adjusted EPS growth along with another year of margin expansion. That, in turn, positions us to deliver at the higher end of our three-year growth objectives. Let's turn now to our business update on slide 4, starting with governance. Our governance business continues to drive our growth. ICS recurring revenues rose 9% to $630 million in the third quarter, driven by new sales and strong position growth. We are now well into the peak of proxy season and record growth remained strong. Equity stock record growth was 17% in the third quarter, with overall positions increasing throughout the quarter despite volatility in the market. We see this momentum continuing into the fourth quarter, as Edmund will share with you. Looking at the drivers of that growth, our data shows the largest increase in online brokers, complemented by substantial double-digit growth for more traditional players. And we continue to see very good growth across both managed and individually directed accounts. We're also seeing investor participation increasing on the fund side with mutual fund and ETF record growth of 10% for the quarter. ETFs are continuing to gain ground with investors, but we also saw strong growth at a number of active complexes. The continuing strength and breadth of equity and fund position growth reflects the continued breadth of retail investor participation and the power of technology to increase access to markets. Outside of regulatory, we saw solid mid single-digit growth across our other businesses, including data-driven solutions, issuer and customer communications. Moving to capital markets. Recurring revenues rose 56% to $247 million. Activity was the biggest driver and is also contributing nicely to our closed sales growth. The combination of activity's modular technology architecture, our commitment to client service and our long-term product road map is resonating with clients and driving market share gains. We're also making good strides on the integration itself, including rebranding the business as Broadridge Trading and Connectivity Solutions, or BTCS. With three quarters under our belt, we forecast the rebranded activity is on track to meet our expectations. I'm also pleased to see continued progress in our distributed ledger and AI initiatives. Undistributed Ledger Repo, were on pace to go live with third significant market is in the next few weeks, which will take our daily average trading volume up over time to $50 billion per day from $35 billion now, with a strong pipeline behind that. Our AI-powered fixed income trading platform also continues to make steady progress. During the quarter, we completed integration with Charles River. And last week, we announced our buy-side advisory form with many of the world's largest asset management firms, including BlackRock and PIMCO. Turning to Wealth and Investment Management. Revenues declined 2% to $134 million as we lapped the elevated trading volumes triggered by the meme stock phenomenon a year ago. More importantly, our wealth sales remained strong in the quarter and are up more than 50% year-to-date, building the base for future growth. Finally, we successfully rolled out our next-generation client workstation and more than 15,000 UBS advisors and others, and feedback from those users has remained exceptionally positive. Last, we reported another strong quarter for closed sales, which are up more than 40% year-to-date and set a new record for third quarter and for year-to-date. These new sales are being paced by our investments in enhancing investor engagement, adding and growing activity, building out our DLT and AI-powered solutions and in our wealth product suite, among others. Our strong sales results have us on track to achieve another year of record closed sales and to set the stage for continued growth. As I noted earlier, we are now well into proxy season as more than 80% of annual meetings take place in April through June. Equity position growth remained strong, which speaks to the continued increase in participation in our markets, and that's clearly a strong tailwind for our business. Beyond that growth, however, we see a confluence of long-term trends that are making our role power and corporate governance even more critical and valuable to the investment process. So, let's turn to Slide 5 for a deeper dive. The first of those trends is, one, I've already discussed which is a growing participation in our markets or the democratization of investing. And that really is a function of falling trading costs, enabling a much wider set of products for investors. If you think back over the past two decades, we've seen the rise of ETFs, managed accounts and more recently at base investing and zero commission trading.  As we look forward, we see more changes, including pass-through voting and direct indexing. Taken together, these trends are bringing more investors, especially younger ones, into the market and giving them access to more diversified and sophisticated investment strategies. At the same time, the importance of environmental, social and government factors is also growing, driven especially by climate and social issues. Investors are voting with their assets as shown by the strong inflows into ESG funds and increasingly devoting with their shares. Not only are we seeing a rising number of ESG proposals on the ballot for annual meetings. Those proposals are getting more support overtime and we've all seen the SEC's proposed rules for further ESG disclosures. It's clear that ESG issues are increasing the engagement of all investors, both retail and institutional.  As a result, engagement between retail investors, institutional investors, wealth managers, fund companies and issuers is more important than ever. Facilitating this engagement is, what we do and we are innovating to meet that challenge. We're enabling fund companies to drive pass-through voting to their investors. We've instituted end-to-end vote confirmation for 2,500 public companies, including all the Fortune 500, so that investors can confirm their votes are being counted. And we're implementing universal proxy to simplify content. At the same time, we're making it easier than ever for voters and issuers to engage each other with our enhanced proxy about app and an upgraded virtual shareholder meeting platform. In short, we're using our place at the center of a network linking broker-dealers, institutional investors, tens of millions of retail investors and thousands of funds and public companies to make it easier than ever for every investor to vote and to have a voice in the policies of the companies that they own and we're making it more efficient than ever for public companies and funds to engage with to shareholders. These investments are paying off in the form of higher growth and higher value for all of our stakeholders.  I'll wrap up with some final thoughts on Slide 6 and then turn it over to Edmund. Broadridge continues to execute and deliver on our growth strategy. We're extending our governance franchise and enhancing investor engagement. We're growing capital markets by driving efficiency and enabling trading innovation. And we're building a wealth and investment management business with next-generation technology. Our performance in the quarter and over this year has been driven by the onboarding of new sales and strong underlying volume trends. Looking ahead, we see another strong quarter, despite increased volatility as the world copes with rising inflation, higher rates, the slowdown in China and unfortunately, the Russian invasion of Ukraine.  Our ability to execute in these choppy markets, reflects the strength of our recurring business – recurring revenue business model and the long-term trends that power our growth, whether it's the increased investor participation, driven by following trading costs, digitization or the relentless pace of technology innovation. These trends have proven durable in both strong and weak markets and give us the confidence to make investments to drive long-term growth. So even in the phase of increased volatility, our business is poised to grow. Broadridge is on track to deliver a strong fourth quarter to close out another very good year with FY '22 recurring revenue at the high end of our guidance range, with continued margin expansion and with adjusted EPS growth of 13% to 15%. That strong performance in '22 comes on the back of a fiscal year 2021 in which Broadridge delivered 10% recurring revenue growth, 60 basis points of margin expansion and 13% adjusted EPS growth. As a result, we remain well positioned to deliver at the higher end of the fewer growth objectives we laid out at our last Investor Day. Before I turn it over to Edmund, I want to thank our 14,000 associates around the world for their hard work in delivering the results, we're announcing today. The work we do is important, enabling better financial lives for millions of investors around the globe. Our associates' high engagement, still 10% above pre-pandemic levels, makes a difference every day for those investors, for our clients and for our shareholders. Thank you. With that, let me turn the call over to Edmund.
Edmund Reese: Thank you, Tim, and good morning, everyone. I'm pleased to be here discussing another quarter of strong performance, which highlights the strength and the stability of our financial model and the long-term trends that are driving our growth. Broadridge delivered top line growth above our fiscal year '22 guidance range, driven by revenue from new sales, strong volumes and continued contributions from Itiviti. We continue to expect recurring revenue growth to be at the high end of our 12% to 15% growth range. And that, coupled with our continued ability to create operating leverage, even in this inflationary environment, gives us confidence to increase our adjusted EPS guidance to 13% to 15% growth. As a result of our strong third quarter performance, together with our expectations for a strong fourth quarter, Broadridge remains on track to deliver another year of double-digit revenue growth, higher margins and double-digit adjusted EPS growth. Turning to slide 7, you can see that strong performance. In Q3, Broadridge's recurring revenues grew 16% to $1 billion. Adjusted operating income increased 10% to $313 million, and AOI margins were flat at 20.4%, including the drag from low to no margin distribution revenues. And adjusted EPS increased 10% to $1.93. Our Q3 results included higher-than-expected equity position growth and also benefited from the timing of Itiviti revenue and tax discretes. I'll also reiterate that we will continue to see operating income growth, partially offset by higher interest expense related to the acquisition of Itiviti until we grow over the incremental interest expense in fiscal Q1 20'23. Let's get into the details of those results, starting with recurring revenue on slide 8. Recurring revenue grew from $873 million in Q3 2021 to $1 billion in Q3 2022, an increase of 16%, exceeding our fiscal '22 guidance range. Organic growth accounted for seven points of the 16% increase, driven by a balance of onboarding new sales and volume growth. Acquisitions, primarily Itiviti drove nine points of growth. Now, let's turn to slide nine to look at the growth across our ICS and GTO segments. We continue to see strong growth in both of our segments. ICS recurring revenues grew 9% all organic to $630 million, driven by strong growth in our regulatory business and balanced mid-single-digit growth across all other product lines. Regulatory revenues rose 13% to $322 million, driven by strong growth in equity positions and mutual fund interims. Data-driven fund solutions revenue grew 6% to $91 million, resulting from higher assets under administration in our mutual fund trade processing unit. Our issuer business increased by 5% to $46 million as we continue to see growth in our disclosure products. That business also benefited from high retention rates for our virtual shareholder meeting platform as the number of meetings are on pace to modestly exceed fiscal year 2021. Finally, we continue to benefit from strong demand in our customer communications business as revenues rose 6% to $172 million. Turning to GTO, recurring revenues grew by 29% to $381 million. Organic growth was 2%. Capital market revenues grew by 56% to $247 million. Activity, now branded BTCS, was the largest contributor to this growth, adding $79 million of revenue. Q3, our activity revenue includes a benefit from the timing of license revenue, but more importantly, activity continues to benefit from strong demand, including market share gains in Europe and Asia. On an organic basis, capital market revenues grew by 6%, driven by new sales and higher fixed income trading volumes. Wealth and investment management revenues decreased by 2% to $134 million, in line with our expectations. Lower equity trading volumes resulting from lapping the elevated retail volumes we saw last year at the height of the mean stock phenomenon lowered growth by four points. Looking forward, we expect both wealth and capital markets growth to pick up in the fourth quarter as we continue to onboard new sales with full year organic growth in our targeted 5% to 7% range, both franchises. Now, let's turn to slide 10 for a closer look at volume trends. We are now in the peak period for annual meetings and proxies and we continue to see strong volume growth driven by increasing investor participation. Equity positions continued to strengthen throughout the quarter and reached 17% in Q3. Through the end of April, we have received record data for 97% of the proxies that are expected for the year and this data gives us high confidence in our Q4 estimate. For the full year, we expect equity position growth of approximately 18%. We are encouraged by this long-term tailwind and its contribution to driving growth in our business. Growth in mutual fund and ETF volumes was also strong at 10% in Q3, despite choppy markets. We continue to expect low double-digit growth for the full year. Turning to the bottom of the slide, trading volumes fell by 6% on a blended basis as expected, driven by lower equity trading volumes in wealth, which more than offset an increase in fixed income trading and capital markets. We continue to expect full year trading volume to be essentially flat for the year. Let's now move to slide 11, where we summarize the drivers of recurring revenue growth. Recurring revenues rose 16%, powered by 7% organic growth and a nine-point contribution from Mitivity . Organic growth was balanced between net new business and internal growth. Revenue from closed sales and our continued high retention of recurring revenue from existing client contracts drove 3 points. And internal growth contributed 3 points to recurring revenue driven largely by position growth, which more than offset the decline in equity trading volumes. Our 9 points of acquisition growth were driven by Itiviti, which contributed $79 million, as I noted earlier. And keep in mind, we expect the benefit from acquisitions has declined significantly in the fourth quarter as we lap the one-year anniversary of the close of the Itiviti acquisition in mid-May. At that point, Itiviti will begin to contribute to our organic growth. I'll finish the discussion on revenue with a view of total revenue on slide 12. Total revenue grew 10% in Q3. Recurring revenue was the largest contributor, driving 10 points of growth. Low to no margin distribution revenue increased by 6% and contributed 2 points to total revenue growth. The biggest driver of that growth came from higher mail volumes in our customer communications business as well as higher postage rates, which offset a decline in event-driven activity. I will reiterate that both elevated distribution revenue and the increased mix of distribution revenue from customer communications suppresses our reported margin. We expect continued elevated growth in distribution revenue in the fourth quarter. Over the long-term, we expect that the share of distribution revenue as a percentage of total revenue will decline. Event-driven revenues were slightly above our seven-year quarterly average and reached $59 million, diluting total revenue growth by 1-point. For modeling purposes, we continue to believe that the best assumption is our $55 million seven-year quarterly average versus a strong Q4 2021. Now the margins on slide 13. Adjusted operating income margin in Q3 was flat at 20.4% as our strong growth in recurring revenue was offset by elevated growth and low margin distribution revenue and our continued investment in our digital and technology platforms. As a reminder, the increased distribution revenue we have seen throughout the year, including the postage rate increase, will negatively impact our reported full year adjusted operating income margin by 40 to 50 basis points with no impact on adjusted EPS. Like others, we continue to see an impact from higher inflation, both in attracting and retaining talent and in materials cost. To-date, this impact has been modest, and we are confident that we can continue to offset most of these costs. Let me also add that we have been increasing our level of investments over the last several quarters with a focus on revenue-generating initiatives, client retention and strengthening our technology infrastructure. I'll reiterate that we have the flexibility to dial up and dial down our investments. That period of elevated investment began in Q2, 2021 and continued in the Q3, 2022. As we enter the fourth quarter, we are now fully lapping the period of higher investments, and we expect to see increased margin expansion. As a result, we are reiterating our AOI margin guidance of approximately 18.5%. Let's move ahead to closed sales on slide 14. We reported third quarter closed sales of $58 million, bringing our year-to-date total to $170 million, which as Tim said earlier, is more than 40% above last year. Our strong sales performance continued to be propelled by smaller sales. In fact, sales of less than 2 million, accounted for 90% of our sales in the third quarter. To me, that's an indicator of strong sales traction and highlights the value of our increasing focus on driving componentized solutions, especially in GTO. Looking ahead to the all-important fourth quarter, we have a very healthy pipeline, and we are well positioned to achieve our closed sales guidance of $240 million to $280 million. And finally, let's turn to cash flow and capital allocation on slide 15. For the quarter, Broadridge generated $55 million in free cash flow, bringing our year-to-date total to negative $68 million. Year-to-date, we have invested $54 million in CapEx and software and $350 million in our platforms. As we indicated last quarter, we continue to be in a peak period of investment across multiple client platform investments, including our wealth platform. We expect lower investment, as we complete the wealth management platform build and begin to recognize revenue from the UBS contract in mid-calendar 2023. As we move past our current investment phase, we expect that our free cash flow conversion will revert to historical levels. More broadly, we remain committed to a balanced capital allocation policy that prioritizes internal investments, value-enhancing M&A and a strong and growing dividend. We have returned a net of $168 million to shareholders in fiscal year 2022, primarily in the form of our dividend. And we remain focused on paying down debt and maintaining an investment-grade credit rating, all while delivering steady and consistent earnings growth. I'll close my prepared remarks with commentary on our updated guidance on slide 16 and some final thoughts on our third quarter results. We are maintaining our revenue and margin guidance and increasing our adjusted EPS guidance. Specifically, we expect to deliver recurring revenue growth at the high end of 12% to 15% guidance range. We maintain our adjusted operating income margin guidance of approximately 18.5%. We are raising our adjusted EPS guidance to 13% to 15%, modestly higher than our original 11% to 15% range, reflecting better-than-expected performance in the third quarter and our continued ability to create operating leverage, while delivering steady and consistent earnings growth, and we are reiterating our closed sales guidance of $240 million to $280 million. With that, let me reiterate my key messages. First, Broadridge delivered strong third quarter results across both the top and bottom line. Second, we are positioned to deliver strong fourth quarter results and more importantly, another strong fiscal year. Our updated guidance calls for the high end of 12% to 15% recurring revenue growth, higher margins and 13% to 15% adjusted EPS growth and not to mention record sales. Third and last, we continue to balance strong short-term results with long-term growth investments, and we are well positioned going into fiscal year 2023 to deliver at the higher end of our three-year growth objectives. And with that, let's take your questions. I'll turn it back over to Kate.
Operator: We will now begin the question-and-answer session.  The first question is from David Togut with Evercore ISI. Please go ahead.
Unidentified Analyst: Hi. This is Millie on behalf of David Togut. Congrats on the strong quarter and the 42% year-to-date closed sales. Just, can you please give us more color on the mix of different contributing factors to that 42% increase?
Tim Gokey: Yeah. This is Tim. I'll comment and then Edmund add on to it. First of all, it's great to see the continued momentum in the market for our products. And -- evidence, really nice progress. What we saw was balanced across both ICS and GTO. We are seeing, of course, this is the first year we have activity as part of the mix. And so that is adding nicely and the timing of the activity sales are a little bit different than our traditional timing. So I think that probably is contributing to the very strong year-to-date results. But when we talk to clients and talking about their underlying needs, we are just seeing the things we talked about in terms of long-term. We're seeing strong demand in the government side, in the wealth side, in the capital market side. I've had some great client conversations over the past few months had an opportunity to demo all of our wealth products with one of the leading wealth managers, a really exciting day when they see how it's all coming together now that that's beginning to be live and they can see things in production. So we're very excited about the momentum. And we think that's all leading into that $240 million to $280 million for the year. So actually, I went on longer than I expected. I don't know you have Edmund anything to add.
Edmund Reese: I think you admitted all. The only thing I'd add to that is, Millie, as you know, closed sales is more of a longer-term metric. What we are -- we continue to be focused on is our revenue backlog. And as you know, the last time we reported on that number, it was 12% of recurring revenue, and that gives us great visibility into the recurring revenue growth as well. So that's the only piece I'd add to what you have there, Tim.
Tim Gokey: That's right.
Unidentified Analyst: All right. Thank you so much.
Operator: The next question is from Michael Young of Truist. Please go ahead.
Michael Young: Hey, good morning. Thank you for taking the question. I actually wanted to follow up on kind of the sales commentary, maybe get a little bit deeper, more granular. I appreciate the detail on kind of the size of the sales. But just generally, kind of as you zoom out, what's kind of your key driver of new sales? Is it new product or expanding relationships? Is it kind of a backlog post-pandemic? Just if you could kind of walk us through what's kind of driving it in both segments would be helpful.
Tim Gokey: Yeah, Michael, it is really -- it's a combination of all of that. It is -- we have deep client relationships and most of our sales are to existing clients and are sort of part of, I guess, what some people call land and expand. But if you look at the available wallet share inside our largest clients relative to what we're selling them, even when we have large relationships, there's a lot of opportunity. And so I think across the board, that tends to be the biggest driver. A year ago at this time, we had lots and lots of new clients with the shareholder rights directive when we signed up over 300 clients in the span of 18 months. That is -- continues to be a factor, but less than it was a year ago. I think also a year ago, we were having really strong success with expanding virtual shareholder meetings. This year, that is more of a retention story. So I think if you look at the difference between last year -- last year and this year, it continues to be strong governance. Obviously, we talked about the increase in wealth, the addition of Itiviti and then just really solid capital markets results as we go through. And I'm not sure if you have anything to add.
Edmund Reese: The only thing I'd add to that because, again, you were thorough there, Tim, is as we said in our prepared remarks here, Michael, the fact that most of the sales are smaller sales, there are core less than $2 million in sales. It really gives us confidence in the value proposition across the entire product set. Tim talked about existing clients. We see strong existing products as well that are selling in our customer communications business. We've expanded the relationships from just print relationships into digital and have seen strong sales there as well. So again, I think it's broad-based and across our overall product portfolio.
Michael Young: Okay. Great. That's helpful. And then the second question, I just wanted to ask about kind of the capital markets volatility we've seen here more recently. Are you guys seeing any pull-through impacts into either stockholder record growth as we move even past the fourth quarter, I know you guys can start to see in the quarter following that. And then -- or is it impacting your trading comps. It'd be helpful to get some color on either this.
Tim Gokey: Sure, Michael. There's clearly a lot of increased uncertainty in the market and driven by higher inflation, the Russian invasion, rising rates, those had very little impact on our Q3 results. We just talked about the strong sales. We saw the strong record growth. Trading activity was modestly lower, but that was really more as we lapped last year's high volatility. We have a lot of visibility into Q4 at this point. Given the way the records close before the actual sending of communications, and we see strong continued record growth in Q4. So it's really being driven by the long-term trends that we've talked about in terms of market participation, digitization technology. As we look beyond that, the -- we do have some visibility into the first half of next year. And we do expect a return to more normalized levels. Our testing right now would be mid-single digits, but it's hard to say because it always continues to increase as you get closer to the event, and we're pretty far out right now. So it's -- I do think the growth will be lower than this year, and that's sort of the planning scenario that we're working on. And then we're seeing inflationary pressures like others, but the strong revenue growth we're seeing, the efficiencies we're enabling means that we think we can offset that and still deliver sort of the margin expansion that we typically talk about.
Michael Young: Okay. Thank you. Appreciate it.
Operator: The next question is from Patrick O'Shaughnessy of Raymond James. Please go ahead.
Patrick O'Shaughnessy: Hey, good morning. Curious about what areas of your business you would think that you would have pricing power in during an inflationary environment?
Tim Gokey: Yes, Patrick, I will -- I'll start on that and let Edmund add on to it. It is -- as we think about how the world is evolving and could we be in a more inflationary environment over time. Obviously, we have a large portion of our revenue -- of our total revenue that is pass-throughs. And so take that out, if we focus on fee revenue. The regulated part of that is about 25%. And as you know, those fees are fixed, but there's good underlying growth in those revenues with operating leverage. But about 75% are things that we renegotiate. They have CPI. And so I think there can be quarter-to-quarter even within year, impacts where you get the timing of that off. But overtime, we think that's something where these are solutions that are absolutely critical to our clients. They have high switching costs. And we have good long-term relations with our clients and where we end up being fair each other in terms of the value provided.
Patrick O'Shaughnessy: Got it. Thank you for that. Itiviti, I think it looks like the revenue was up nicely quarter-over-quarter. And I believe during your prepared remarks, you mentioned something about the timing, but can you speak to the Itiviti revenue contribution in the quarter? And what was driving that strength?
Edmund Reese: Sure. Let me, make a few comments about that, Patrick, and then, I'll turn it over to Tim to see, if he wants to add anything. And let me just remind you, we had always said that Itiviti was a business that grew at mid-single-digit rates. As we brought it on, we'd be able to move that to high single-digit rates. And we thought that this year, it contributed seven to eight points to our overall recurring growth. And through the first three quarters is contributing nine9 points, so strong, strong performance there. That is primarily a subscription-like revenue model on SaaS on our hosted solutions here. There's a small component of it that's license revenue that the timing of that right license recognition change. We initially thought in a later time period that came into Q3. So that drove a small bump in the overall business. But I think the key thing is that we expect it to continue to perform this year in line with our expectations. And as we go forward, the overall contribution that we thought it would make to our three-year objectives still sits with what we thought at 2.5 to three points of growth.
Tim Gokey: And Patrick, I just want to add on, because I'd say we are really pleased with the overall progress we're making in Itiviti. The integration is on track. The revenue and profitability objectives relative to our business case and are planned for this year, we're on track to achieve or more than achieve. And when you come down to the modular architecture, our focus on clients our long-term road map is really resonating. And so, as we look at the short, medium and long-term goals that we had, our near-term goal was to continue to take share by doing what Itiviti was doing before the acquisition, but with our backing. And we're really seeing that in continued wins of Fidessa clients and nice market share gains there. We had a medium-term goal around better penetrating their client base with Broadridge products and vice versa. And we've begun to see the beginnings of that. We had a nice front office plus cap sale for a large bank in North America. And then long-term is that linking front-to-back. And that is more of a long-term, even 18-month roadmap for phase developments there, but we have some really nice engagement by some of our key North American clients on that topic. So I think it's -- we really like the way this is playing out. Ray DiLorenzo, the leader there is doing a really nice job is creating a really strong team. And if you were to sit down with our Capital Markets team today and talk about what we can bring to the table in capital markets for any global player, is an incredibly impressive team.
Patrick O'Shaughnessy: Great. Thank you very much.
Operator: The next question is from Puneet Jain of JPMorgan. Please go ahead.
Puneet Jain: Yeah. Hi. Thanks for taking my question. Tim, are you seeing -- obviously, you are seeing structural tailwinds in the business in -- specifically in the regulatory side. But are you seeing any cyclical pressure from the markets being down in Q1? And more broadly, if you can update us on how the business performs like in a macroeconomic weakness, if there is like a recession or macroeconomic factors continue to remain weak? How would individual businesses, ICS as well as GTO might perform in that environment?
Tim Gokey: Sure. And I'll make a couple of comments and let Edmund add on to it. As we have gone through periods of pockets of volatility over this first five months of the year. And we're doing measuring record growth almost weekly. We have seen continued record growth even when the market has been down. So in the near term, if you look over the past few months, we have not seen any correlation between market activity and record growth. So that's been a nice positive. I think, if you think about a bigger scenario, where there is some sort of real market wipe out, and we look back at past times when that has happened, say, 2008 or even going back to 1999. What happened in those instances was that, obviously, trading did what it did in the market levels do what it did, but position growth, basically remained positive, low, zero or maybe a little bit positive. But even 2008, 2009, overall position growth was moderately positive. So it definitely affects the growth, but we don't tend to see a big downturn. On the GTO side, our contracts there are much more much more fixed price than purely trading driven. So there's impact, but it is much more moderated than it would have been sometimes in the past. So I think we tend to be sort of a lagging indicator. And when markets go down, we tend to be not impacted as much, and then maybe it takes us a little bit longer to reaccelerate growth coming out of things. But right now, we're seeing really nice continued momentum.
Puneet Jain: Got you. That's helpful. And then can you also talk about like the UBS platform. I think they announced that, they expect like the full platform to convert in 2023. Can you – but I also understand it seems like you are implementing like the smaller modules until then. So can you talk about like the timing of revenue recognition related to UBS until the full conversion?
Tim Gokey: Yeah, absolutely. And as I said before, this transformation that we are pursuing of digital wealth management is one of the most exciting initiatives that we have. And it's really creating modern technology cognitive solutions and scaling those across our GTO business. It has been really exciting this past quarter as we've seen the workstation go live, and it's been in beta the last year, but go live with 15,000 advisers, client service associates, home office associates and others and the feedback on that has been great. And that's added to – we have a billing solution for managed accounts that enables UBS to – rather than billing sort of at the beginning of the quarter or end of the quarter, to bill based on the average through the quarter. It's something really basically that every wealth manager needs and they've seen a really nice pickup in economics as a result of it. So those are some nice components that are live. And I think as we talked about before, we have worked with UBS to break this into more discrete chunks that will go live over time. The biggest of those is in mid-2023 and we've tied our revenue recognition to that. So that's why we keep talking about that number. And then just, as long as I'm on this topic, sort of the natural evolution is sort of where you see this going in the future. And I think, as I've talked about before, our thinking has really evolved to -- we've made this much more modular and as we engage with clients, they're looking to get to value sooner. And so we think this is going to be much more package of modular sales over time with other clients. And I talked about the event that I was involved with, with a large wealth manager a few years ago -- excuse me, on a few weeks ago, and it felt like years a few weeks ago. And when you see all of the different modules, which are now fully integrated into the workstation, you see all that playing together, it's very, very powerful. And so I think it's going to lead to a lot of opportunity, which obviously we're seeing already in some of our wealth sales.
Puneet Jain: Thank you.
Operator: The next question is from Chris Donat of Piper Sandler. Please go ahead.
Chris Donat: Good morning. Thanks for taking my questions. Tim, I just wanted to follow up on the comment you made that you just made about more modular sales. And also on Edmund's comment about closed sales with 90% of them being below $2 million. Are you seeing a shift away from the bigger ticket sales, or is this maybe like a temporary phenomenon because of an uncertain environment? It sounds like everything is great with the modular, but I'm just wondering is this more strategy driven on your part or customer-driven to more digestible bites from your clients?
Tim Gokey: Yes, Chris. I will -- it's a great question. I would say it is strategy driven in the sense of as one takes what used to be sort of a fully integrated all-in-one highly linked platform and evolve the technology and modernize it to be more API-driven, Microservices-driven and a series of components, it does enable the idea of modular sales a lot more. And so and there's a strategy, and you see that particularly in -- we talked about it in wealth, but you see it in capital markets, where our Global PostTrade management platform that we've talked about is, we're breaking that into components, and we're seeing nice component sales. We saw a nice component of sale to one of the largest international banks that -- where we haven't really penetrated them before, and we have a nice pipeline of those. So it's being enabled by how we're evolving our technology. I don't think that we have necessarily thought to ourselves, oh, we're going to go to banks now with just smaller things. But that's definitely the uptake that we're seeing in terms of where the demand is right now. We do have larger conversations in path. But as you know, those take a long time and are uncertain. So it'd be interesting to see how it evolves over the next couple of years. Frankly, I like lots of little ones better than the big ones, but they're all good.
Chris Donat: Okay. Thanks a lot, Tim. And then one for Edmund, just on the distribution revenue, which sounds like strong in the fiscal third quarter, should be strong in the fourth quarter. As we start thinking about fiscal 2023, I would imagine the trends for postal pricing and volume remain kind of also strong going into fiscal 2023. Is that a little bit of margin headwind as we go into 2023 or too soon to tell, or just something to keep an eye on?
Edmund Reese: I mean, we'll definitely come back in August with more specific guidance on fiscal 2023. I think we'll start to see us lapping a little bit the postage rate increases that we saw in this year here. But the other component of that is this shift from higher margin regulatory-driven distribution revenue to the customer communications. And we continue to have strong business there. We just showed 6% growth for the customer communications business, the sales continue to be strong in that business. So that is going to be ongoing margin headwind. But I think the key thing is that we continue to believe that we have a long runway of opportunity to drive efficiencies in our business and continue to drive 50 basis points of margin expansion, whether that's looking at our fixed infrastructure, the fact that even in that customer communications business, we move from print to digital, which is at a higher margin for us, and we continue to find in our technology stack efficiencies and saves as well. I think the key thing to keep in mind is that, that distribution revenue is fully pass-through. There's no earnings associated with it. So while it has an impact on our reported margin, there is no earnings associated with it, which makes us very confident that we can continue to drive the steady and consistent earnings growth in the range that we've set out for fiscal 2023 and be at the high end of that, in fact.
Tim Gokey: Yes. And Chris, as you know, whenever I sit down with investors, I would say, when you look at our company, pull out the distribution revenue and look at the fee revenue, and that's really the right way to analyze the company in terms of growth and margin and other things. We do have constraints in terms of how we're able to report, so we end up reporting that as revenue, but it's really sort of immaterial to our -- the true economics of the company.
Chris Donat: Got it. Understood, Tim. Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Tim Gokey for closing remarks.
Tim Gokey : Thank you, Kate. That wraps us up for today. Thank you on the call for your interest and your confidence in Broadridge. And just to summarize, the strong results that we reported today and increased guidance that we provided being driven by long-term trends and success in our most significant strategic initiatives, including strong year-to-date closed sales. We believe we're making a real difference and this tremendous opportunity ahead for our investors, our clients, our associates and, of course, our shareholders. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.